Operator: Good morning. And welcome to the Eversource Energy Fourth Quarter and Year End 2018 Results. My name is Brendon, and I will be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. And I will now turn it over to Jeffrey Kotkin. You may begin, sir.
Jeffrey Kotkin: Thank you, Brendon. Good morning and thank you for joining us. I'm Jeff Kotkin, Eversource Energy's Vice President for Investor Relations. During this call, we'll be referencing slides that we posted last night on our website. And as you can see on slide 1, some of the statements made during this investor call may be forward-looking as defined within the meaning of the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and are subject to risk and uncertainty, which may cause the actual results to differ materially from forecasts and projections. These factors are set forth in the news release issued yesterday. Additional information about the various factors that may cause actual results to differ can be found in our Annual Report on Form 10-K for the year ended December 31, 2017, and on Form 10-Q for the three months ended September 30, 2018. Additionally, our explanation of how and why we use certain non-GAAP measures is contained within our news release and the slides we posted last night and in our most recent 10-K. As you can see on slide 2, speaking today will be Jim Judge, our Chairman, President and CEO; and Phil Lembo, our Executive Vice President and CFO. Also joining us today are Leon Olivier, our Executive Vice President for Enterprise Energy Strategy and Business Development. John Moreira, our Treasurer and Senior VP for Finance and Regulatory; and Jay Buth, our VP and Controller.  Now I will turn to slide 4 and turn over the call to Jim Judge.
Jim Judge: Thank you, Jeff. And thank you everyone for joining us this morning. I am happy, very pleased to discuss our successful performance in 2018 and the very strong future we see for Eversource. Our 8,000 talented and dedicated employees undertake their work everyday to improve the experiences of our customers, support our approximately 500 communities and execute the forward looking clean energy policies of our state. And doing so, we've created a solid, very long track record of delivering significant value to our shareholders. And doing so in a way that effectively manages the risks of our business. A regulated business cannot be successful without positive relationships with its regulators. We firmly believe that our success in achieving top tier reliability and safety performance were combined with our success and reducing our O&M cost by more than 20% since 2012, enables us to create constructive regulatory frameworks that are fair to both customers and investors.  As you can see on slide 4, we settled two major distribution rate cases in Connecticut in 2018. One for our electric business and for our natural gas business. The Connecticut Light and Power settlement was the first electric rate case settlement in Connecticut since 1986 and underscores the level of trust and transparency that we develop with other parties.  Less than seven months after the three year CL&P settlement went into effect, we implemented a separate three year rate settlement through Yankee Gas. Both CL&P and Yankee Gas settlements provide us with forward looking rate mechanisms that allow us to step up our investments and our infrastructure to better serve our customers without suffering the earnings consequences of rate lag.  In 2018, we also moved ahead with some of our strategic initiatives to support relentless focus on sustainability and greenhouse gas reduction. In addition to the divesture of our costly units, we successfully completed the build out of 62 megawatt of solar in Massachusetts. The solar investments totaled approximately $170 billion. In addition, we also began implementing separate initiatives in Massachusetts to invest a total of $233 million in battery storage, electric vehicle infrastructure and other grid modernization projects. They also point Massachusetts state energy policy and by the middle of next year we do compile a new plan for the next three-year cycle beginning with 2021. Our progress in these areas is being recognized. Various ESG rating proves consistently ranked Eversource near the very top of their rating scales, and we now have more than 130 separate socially responsible funds that have invested in our company. We also have achieved strong returns for our shareholders, while managing our risk profile. Across the board, our credit ratings remain very strong among the highest of the industry. Turning to slide 5, you can see that our total return continues to outperform both the utility index and the broad market from a short term and long term basis. While past performance is certainly no guarantee of future returns, it can be a good indicator. And past performance does validate our contention that a company that excels in its service to customers can also excel in delivering value to shareholders. Turning to slide 6, you can see that dividend growth remains a central feature of our total return profile. On February 6th, our board of trustees approved a $0.12 annualized increase in our common dividend. The 6% increase is consistent with the midpoint about 5% to 7% long-term growth rate and exceeds the average dividend growth in our industry. And as you can see on slide 7, we continue to forecast growth of 5% to 7% long-term, a continuation of what we have delivered since our merger closed in 2012. The forecast that Phil will discuss with you shortly extends five years through the 2023. That's a two-year extension to our prior guidance that only went through 2021. As you expect, we continue to plan what even longer term for our growth. As you can see on slide 8, we made the announcement earlier this month that we believe will have a very positive impact on our results well through the next decade. On February 8th, we announced the purchase of a 50% share of similar projects and offshore when energy leases that Ørsted acquired when it bought Peak Water Wind late last year. Our latest transaction builds upon the partnership we first developed with Ørsted in 2016 when we acquired a 50% interest in Bay State wind. This month's announcement relates to leases for more than 250 square miles of ocean of the Massachusetts coast that are adjacent to the 300 square mile Bay State lease that we jointly owned. These lease areas are among the best sites offshore wind in the entire United States and they're in a prime location to meet the growing appetite offshore wind in New England and New York. Together the Bay State wind and Deepwater wind sites could host at least 4,000 megawatts, and we share the partnership 50:50 with Ørsted, the world's largest, most successful and most experienced developer of offshore wind. The Deepwater portfolio in which we now have a 50% share includes contracts for about 830 megawatts of offshore wind that will be sold to utilities at Connecticut, Rhode Island and New York. The 830 megawatts represent the largest concentration of offshore wind contracts currently awarded in North America. These projects still must go through the signing process and will have very limited impact on our earnings growth through 2023. But beginning in 2024, we expect that investment to be a significant source of earnings for Eversource. And those 830 megawatts are likely just the beginning. Last week, we've been into a New York offshore RFP that is expected to be awarded this spring, and later this year we expect to bid into with the second Massachusetts offshore wind RFP where the state seeks another 400 to 800 megawatts of clean generation. All told, New England and New York have announced targets or adopted legislation that could result in the development of up to 15,000 megawatts of offshore wind by the year 2035. Still we'll have more to say about the expected potential impact of this announcement; however, I want to underscore how pleased we are with this transaction, how pleased we are with our partner Ørsted and the opportunity to bring a significant source, a locally produced clean energy to our region. A major factor in our decision to expand our relationship with Ørsted is our partners' unequaled global experience, and track record of delivering offshore wind projects on time and on budget. Ørsted has more than a 25% worldwide market share much larger than its nearest competitor. Of the seven projects Ørsted recently completed, six with the limit below the budget that was set when a final investment decision was made. This fact that combined with Ørsted's record of completing projects on schedule has allowed the company to consistently deliver on its return expectations. Ørsted also shares our philosophy of being a discipline bidder will not sacrifice returns to win business. So while we don't expect to win every offshore wind RFP, we fully expect that our successful bids will achieve a level of profitability commensurate with the project risk. We I believe is largest energy company and the largest developer of energy infrastructure in our region. Collectively, New England has very ambitious greenhouse gas reduction targets seeking to reduce emissions by 80% by the year 2050. New York has established aggressive renewable targets as well. Offshore wind will be central to meeting this region's carbon reduction and renewable development goals and through this partnership; we're quite pleased to play a leading role in executing the region's energy policies. We're also pleased with the long term earnings growth opportunities these investments will provide to our shareholders. Now I'll turn the call over to Phil. 
Phil Lembo: Thank you, Jim. And today my part of the call will cover the 2018 results. An update on our key regulatory dockets. Look at 2019 guidance. Our new five-year financial forecast and a discussion about financing plans during that forecast period. As Jim said, we had strong 2018 from both an earnings and operational perspective. Beginning with slide 10, we earned $3.25 per share for the full year compared with $3.11 in 2017. A year ago we have projected earnings of between $3.20 per share and $3.30. So we're right in line with that projection. Our electric distribution segments earns a $1.44 per share in 2018 compared with earnings of $1.57 in 2017. The decrease was primarily due to low generation earnings as a result of the divestiture of our New Hampshire generating unit assets. Also offsetting the higher revenues were increases in depreciation, interest and property tax expenses. Our Electric Transmission segment earned a $1.34 per share in 2018 compared with $1.23 in 2017. Improved results primarily reflect our increased investments in that business. Our Natural Gas Distribution business earned $0.29 per share in 2018 compared with $0.23 in 2017. The increase was primarily due to higher revenues at our Yankee Gas Connecticut property, which would not decoupled until late in the year, as well as the outcome of a Yankee Gas rate review in the increased revenues related to our capital investment tracker mechanisms. On the Water Distribution segment, we earned $0.10 per share in 2018 and we acquired Aquarion in December so no 2017 results to report there. Eversource parent and other earned $0.08 per share in 2018 including two non recurring items that we discussed in the third quarter. The $0.08 per share write-off of our investment in Access Northeast and a $0.06 gain from various taxes reform items. I know that a number of analysts may or may not have adjusted their estimates accordingly for these events. Fourth quarter 2018 earnings total $0.73 per share compared with $0.75 in the fourth quarter of 2017. Transmission earnings were down a $0.01 compared with the fourth quarter of 2017 primarily due to a higher effective tax rate in that business in 2018, which costs us about $0.03 per share. Electric Distribution was up by $0.09 per share in the fourth quarter due in part to the absence of the generation earnings due to the divestiture, as well as higher depreciation interest in storm damage restoration costs. Conversely, our Natural Gas Distribution segment earnings were up by $0.06 per share in the quarter benefiting from capital tracker mechanisms, cool weather and some increased revenues stemming from the Yankee Gas rate decision. We also had a $0.01 per share in the fourth quarter of 2018 from our water business. Slide 11 summarizes the constructive resolution of our three distribution rate reviews in 2018 for Connecticut Light and Power, Yankee Gas and Aquarion in Massachusetts. We expect far less states rate activity in 2019 though for the first time in nearly a decade we expect to file a general rate review in New Hampshire. Public service in New Hampshire is under earning and it's allowed ROE of 9.67% despite significant cost management success across that business since 2012. In New Hampshire rate reviews take about a year to complete, but utilities have the opportunity to request interim rate increases subject to refund if they expect to under earn, they previously authorized ROEs while the rate review is pending. As a result, we are planning to file for interim rate relief in New Hampshire in April and full rate review in May of this year. The next area to cover is FERC. This past fall I'm sure you know, FERC issued a proposed new methodology for determining whether it should initiate new proceedings concerning transmission ROEs, and if so, what methodology should be used to decide on them. As you can see on slide 12, there are still four complaints pending against the ROEs earned by the New England electric transmission owners of which we have lagged. Initial briefs on the FERC methodology were filed in January with reply briefs due in a couple of weeks. We're hopeful that in 2019 this long-running dispute will be resolved by FERC, and that FERC endorses of standards that in the future will make this type of serial complaints, we've had a New England highly unlikely. From 2018 now I'd like to turn to slide 13 and discuss our 2019 guidance.  We expect to earn between $3.40 and $3.50 per share in 2019. As you can see in the slide, we expect to benefit from our multiyear rate review outcomes in 2018 from our Massachusetts electric jurisdictions. And our Connecticut electric and natural gas utilities. NSTAR Electric implemented roughly $32 million increase in base distribution rates on January 1st of 2019 as part of its five-year performance-based rate plan approved by the Massachusetts DPU in November of 2017. This increase will help fund reliability enhancement and customer service initiatives. At CL&P based distribution rates rise by an incremental $31.1 million on May 1st of 2019. Here again, this increase provides us timely recovery for our system improvements. Yankee Gas implemented a $1.4 million rate increase on November 15, 2018. The increase was the first of three approved in a multi-year agreement with Connecticut's PURA with the second increase effective beginning in 2020.  Yankee Gas also receives approval for a tracking mechanism for cast iron and unprotected steel pipe replacements. Finally, Aquarion in Massachusetts implemented a $2 million rate increase just before the end of last year. In the transmission business, we expect to benefit from our continued investment and FERC regulated facilities. We invested just shy of a $1 billion in the transmission facilities at CL&P electric in public service in New Hampshire in the year 2018. And transmission investments in 2019 are expected to be at a similar level at $990 million as we complete some of our major transmission projects in Connecticut, New Hampshire and continue to address our overhead and underground maintenance activities. In terms of O&M, although overall O&M is expected to increase in 2019 as areas of spending where we have regulatory commitment and recoveries in place. The O&M that affects earnings is expected to decline by about 1% to 2% in 2019. Growth will also be as a result of distribution capital tracking mechanisms in the areas such as replacement of old and cast -iron and unprotected steel pipes in our natural gas business and older water mains at Aquarion. Somewhat offsetting the additional revenues associated with these investments are higher depreciation, interest expensive and property taxes. So turning from the recent investments to future capital expenditures. I'll move on to slide 14. Overall, we expect to invest nearly $13 billion in our core electric natural gas and water delivery systems from 2019 through 2023. We expect to invest nearly $8 billion over the next three years. So $8 billion out of the $13 billion over the next three years.  This represents a significant increase from the $6.5 billion forecast we provided to you last year from our core business for the same years. It's key contributor to continuing our outstanding service reliability to our customers into the extension of our 5% to 7% growth rate through 2023. As you can see on slide 15, every segment of the business is forecasting higher expenditures with the electric transmission and distribution business showing the greatest growth. As shown on slide 16, we expect these increases to move our regulated rate base from $16.6 billion at the end of 2017 to $24.5 billion by the end of 2023 That's a 6.7% compound annual growth rate that is expected to maintain our safe, secure and reliable delivery systems and drive our 5% to 7% EPS growth over that period. This is the basis of why we believe we can grow earnings around the midpoint of our range on average over the next five years. Confident in that ability. On the transmission side, the increased investment aligns with our asset management oversight process and anticipates completion of our larger projects in Greater Boston, our New Hampshire seacoast and our Greater Hartford suites of projects. It also includes significant regional projects such as substation investments in Greenwich, Connecticut and in Cambridge Massachusetts, as well as a number of smaller projects to improve the resilience and security of the transmission system. These include replacing overhead structures and upgrading some of our underground infrastructure due to age and asset condition. Turning to slide 17, you see that many of the larger projects we have spoken about to you over recent years are moving ahead to its final completions. The Greater Hartford Central Connecticut reliability family projects should be complete by the end of this year. We received a written order on January 31st of this year from the New Hampshire's site evaluation committee approving the Seacoast reliability project. And that is expected to be complete by the end of this year. The Greater Boston reliability project continues to progress. This is a joint solution with National Grid. We are also --we are responsible for 28 of these projects of which 25 should be complete by the end of this year. In the Electric Distribution segment, we forecast capital expenditures of nearly $3.5 billion from 2019 through 2021 compared with last February's forecast of $2.9 billion for the same year. We also expect to invest another $2.25 billion over the course of the years 2022 and 2023 in electric distribution. There are a number of factors driving the increase as we discussed previously, we've identified many additional automation and storm hardening opportunities following the rash of Nor'easters and tornadoes that struck our overhead electric system last March and May. We also are seen faster customer growth in certain areas of Greater Boston including the Seaport area and cities of Somerville and Cambridge will be making incremental substation investments. These investments are being made to meet the growing demand of customers in these areas. In the Natural Gas business, we now forecast $2.33 billion of capital expenditures over the next five years with about $1.4 billion occurring in the next three. These expenditures include an acceleration of pipe replacement in both Connecticut and Massachusetts. In the recent Yankee Gas rate case of the Connecticut PURA shorten the period for replacing the older cast iron and unprotected natural gas distribution pipes from 13 years to 11 years. Our new forecast also reflects a more rapid replacement of cast iron unprotected steel pipe in our larger Massachusetts system. We're also making additional plant and system investments in our Huntington LNG facility that we're doing in parallel with our current liquefier and major systems upgrade. On slide 18, you can see our forecasted pipe replacement capital budget for the next five years. You may recall that as a result of the Yankee Gas rate settlement, we now have fully reconciling pipe replacement and tracking mechanisms in place in both states. In addition to pipe replacement, we continue to see some growth from new construction, new customers, additional fuel cell application and the installation of new combined heat and power systems and customer facilities fuelled by natural gas. This growth requires additional investments in our natural gas infrastructure which drives the distribution rate base growth by an average at annual average of more than 12% through 2023, far faster than any of our other regulated segments. Rate base is expected to exceed $3.5 billion here by the end of 2023. Turning to slide 19, in our Water Segment, we invested about $102 million in Aquarium systems in 2018 about 50% more than Aquarion's prior owners were investing each year. We expect to invest nearly $625 million in Aquarium systems over the next five years or about $125 million per year. As you can see on the slide, we're projecting rate base reaching approximately $1.2 billion by the end of 2023.  Turning to slide 20, you can see about a third of that investment is designed to improve Aquarium's ability to meet the water supply needs of southwestern Fairfield County in Connecticut. We now have reconciling mechanisms to recover pipe replacement investment in each state Aquarion serves. In addition to growing Aquarion through investments in our existing service territory, we continue to seek out opportunities to require small existing systems particularly in Connecticut. About three weeks ago state regulators approved Aquarion's purchase of assets of two smaller water companies in South East Connecticut. Four of the small acquisitions are now before regulators for approval. I mentioned the number of items that are included in our five-year nearly $13 billion capital forecast. On slide 21, we list some potentially significant items that are not in our core business CapEx forecast. And may come to fruition during the forecast period. In the CapEx forecast, we've been conservative I'd say in terms of what may come out of the grid modernization dockets in the state's we serve. In Connecticut, we await the release of a Connecticut PURA report on a year-long review of distribution companies long-range planning, which there was considerable discussion about Advanced Metering Infrastructure or AMI, also discussion of energy storage increased real-time monitoring of lines and substation conditions and other topics. Because the review has extended longer than we had anticipated, we opted not to include any AMI of basic incremental grid modernization spending at CL&P in this forecast. We also did not include any basic grid mod in New Hampshire in this forecast, but expect to make some proposals in New Hampshire's upcoming general rate review or in a separate filing following the New Hampshire PUC issuance of a final decision in their ongoing grid modernization proceedings. In Massachusetts, you can see on slide 22, we are currently implementing $233 million of the approved investments in core grid modernization storage and electric vehicle infrastructure. Beyond these programs, the DPU has asked the utility, the state electric utilities to propose next year a new three-year grid modernization program for the period of 2021 through 2023. Our forecast includes spending on incremental core grid mod programs through 2023. Like Connecticut, we expect Massachusetts to also consider the rollout of advanced metering infrastructure or AMI. But we're not reflected any rollout of AMI in this forecast. Separately, we've not included any investments in Northern Pass in this forecast. In terms of O&M, we expect O&M to remain relatively flat during years two through five of our five-year forecast after the decline of 1% to 2% for 2019 that I mentioned earlier. Turning to our financing plan. As illustrated at the end of the appendix, we have modest level of maturities that will need to be refinanced this year and next year. However, we do have a significant core business capital program that I described earlier. In addition, we have approximately $100 million of excess deferred income taxes that will be refunded to customers over the next few decades. And the cash flow benefits of bonus depreciation as everybody knows has ended. These factors are positive for customers deposited for long term growth. Over the past four years, we've invested nearly $10 billion in our infrastructure to maintain great performance for our customers. Annual capital expenditures grew from about $1.9 billion in to 2015 to more than $2.8 billion in 2018, which contributed to our top quartile reliability and service response for customers. We also entered the water business by acquiring New England's largest investor owned water company back in December of 2017. We continue to evolve our business to meet the growing needs of our customers, as well as the clean energy mandates of our region. In order to finance this growth, this five-year forecast period does include issuance of both new debts in equity to finance investments in a balanced way as you can see on slide 23. We expect to issue approximately 2 billion of new equity over the next five years. This equity will help fund the nearly $13 billion of core business and capital investments we expect to make through 2023 and also our 50% of the capital requirements associated with the construction of the offshore wind facilities for which we and Ørsted have secured PPAs that Jim talked about earlier. We'll also use treasury shares to satisfy our dividend reinvestment program needs. Our expectation to grow earnings per share around the midpoint of the 5% to 7% range through 2023 anticipates the issuance of this equity over the five years. I'll repeat that. We expected revenue earnings per share around the middle of our 5% to 7% growth rate through 2023 even while issuing approximately $2 billion of equity through new common share issuance and with the Eversource share s coming out of Treasury for our dividend reinvestment program. We will be opportunistic about the equity issuance and will time them accordingly over the next several years. The PPAs we have for offshore wind did not produce revenues or earnings until the turbine begin producing energy. Construction cost including interest on debt will be capitalized into the class of the projects, but there will be no earnings on the equity investment until the turbines are operating. By 2024, we expect all 830 megawatts of offshore winds to be fully operational being additive to our earnings growth trajectory in a meaningful way going forward. Cash flows also expected to rise significantly once the offshore wind turbines are fully operational. On the fixed income side, we continue to carry very strong credit ratings for all agencies. We've always maintained a balanced approach here, achieving above-average strong earnings and dividend growth and also strong credit ratings. We prided ourselves on delivering strong financial performance and strong financial condition. This plan accomplishes both in a balanced way delivering a 5% to 7% EPS growth and maintaining the strong financial condition and metrics that we currently have. To summarize on slide 24 as Jim said earlier, 2018 was a very strong year for us. Our reliability and safety metrics remained in the upper tier of the industry. Our customer service metrics continue to improve and we are introducing innovative technology to improve the customer experience in many ways including more mobile access. We continue to play a vital role in implementing our state's clean energy initiatives. We continue to provide our investors with strong earnings and dividend growth and have to provide an attractive future growth opportunity. Going forward, our core business continues to be the engine for our 5% to 7% EPS growth outlook for 2023. Our underlying rate based growth is 6.7%. And we continue with our strong focus on our O&M part. And we see offshore wind is being added to our earnings growth in a meaningful way beyond 2023. Look forward to seeing many of you at the Equity and Fixed Income Conference is coming up in Boston in New York over the next week. And I'll turn the call back to Jeff for Q&A. 
Jeffrey Kotkin: Thank you, Phil. And I'm going to return the call to Brendon to remind you how to enter your question.
Operator: [Operator Instructions]
Jeffrey Kotkin: First question this morning is from Mike Weinstein from Credit Suisse. Good morning. Mike.
Mike Weinstein: Good morning, guys. Thanks for the big update. A question on the equity coming out. Can you give us I mean I know that you said it's going to be opportunistic, but can you give us a sense of whether some of it is back end loaded for the wind project? I think you said that you wouldn't be investing in the wind projects until they come online, right. So that'd be pretty far out. And I mean that was I think the Ørsted is only $225 million so that wouldn't be that much of the $2 billion equity to account for that. Maybe you can give us a sense of what that equity is for like why do you need equity now. I mean I understand that with bonus depreciation rolling our tax cash taxpayer at some point in this plan. So that would be a contributor. Can you just tell us like what's driving the $2 billion of equity and when you'll need most of it is? Is it backend loaded or front unloaded?
Phil Lembo: Sure. So, Mike, let me let me just add to something that you mentioned or clarify a few things. The capital program of $13 billion and the construction of 830 megawatts is included over the next five years not just that initial payment that you referenced to the partnership in Ørsted. So it's the construction of the 830 megawatts where the turbines and our CapEx program. So as I said, we will be opportunistic and assess what our needs are over that time period. No rush to need to do anything, but we'll take our time to look at what our construction program looks like over that time period and make some determination over the course of that period. So I wouldn't say that any of it is front end or backend loaded. I just say we'd be opportunistic of how we're going to approach it going forward.
Mike Weinstein: Is -- how much of it is driven by the fact that you are becoming a cash taxpayer again and because I mean just a few years ago we were talking about the possibility of stock buybacks right. So this is the flip of that. I'm just wondering what's the driver of the $2 billion.
Phil Lembo: Yes. Mike, we better tax cash payer actually, we are tax and cash payer this year and we expect to be a tax cash payer next year. We had about $160 million of cash taxes in 2018 and will probably be in the 130 to 150 range in 2019 in terms of cash payment. And just to clarify in terms of, we had not really discussed share buyback I know but we got the question a lot, but I've always and we've always said that our focus is on investing in the infrastructure of business.  And we didn't see that we would be in that mode of buying shares back that we would be continuing to invest in the business. And as I said, we've had a significant capital program over many years and have the next five years as even larger as I described going forward. 
Jim Judge: Mike, this is Jim. Just to add to a point that Phil made earlier in his comments. I think it's important to recognize that we're guiding towards 6% the midpoint of the range through 2023 and in the process we're not only funding the core business CapEx, but we're funding the build-out of the offshore wind as well, with virtually no earnings contribution from that business until 2024 when revolution wind comes online. So we're basically guiding to 6% even with the drag associated with the offshore wind investment.
Mike Weinstein: Got you, and that offshore wind investment is just -- just the Ørsted for now just a 50% investment for now, right?
Jim Judge: That is our partnership with Ørsted 50% on day one.
Operator:
Jeffrey Kotkin: Next question is from Insoo Kim from Goldman Sachs. Good morning, Insoo.
Insoo Kim: Good morning. Maybe to ask the timing of the equity in a different way. So I think you have mentioned in the past that you wanted to keep the current Moody's credit rating intact. Do you have any sense of does that imply target FFO debt of, let's say 14% to 15%? And, if so, what time period do you look to I guess achieve or at least maintain that level?
Phil Lembo: Well, certainly we like where our Moody's credit rating is as you're right that we were target to maintain that credit rating. And you are also right that would indicate FFO to debt at those levels which --so that would imply we would be targeting that to maintain those rating. So there's really no change there, and I think that as we get into our kind of our spring forecast period with the rating agencies will, we obviously have discussed any press release that comes out and will provide an updated forecast as we go forward.
Insoo Kim: Understood and then regarding the 5% to 7 % EPS CAGR through this time period. Do you expect it to be a little bit lumpy given a lot of the regulated, the bulk of the increase of the regulate investments are in the next three years and then you have a lot of the wind construction financing without the earnings benefit coming in the latter half of that period. I just --I'm just trying to gauge whether they're --it's more of stable or whether we could expect some lumpiness?
Phil Lembo: I say it's more stable. Yes, I mean certainly any particular quarter could have particular things in it, but I'd say you should expect us to be in a stable growth environment.
Insoo Kim: Understood and just one more if I could What's the total potential opportunity set for AMI at least over this five-year period that could add to the rate base growth?
Phil Lembo: Well, in our --when you look at it, I'll say for us nothing has been approved, right. So if you did a full rollout in Connecticut and Massachusetts you might be at a $1 billion or for full rollout everywhere for AMI it should proceed what the program like that it would be over multiple years to get that installed. So that's the sizing that you should be thinking about there.
Operator:
Jeffrey Kotkin: Great, thanks Insoo. Next question is from Julien Dumoulin-Smith from Bank of America. Good morning, Julien.
Julien Dumoulin Smith: Hey, good morning, team. Thank you. Perhaps just to kick off on the offshore side if I can you. Elaborate a little bit on how you think about the size of the equity check now? I mean I know you've put down something of a down payment here with 225. I know that you are targeting regulated like returns on this investment, but what is the equity check that you're going to need just the kind of backdoor if you will into the 2024-ish earnings profile that we're talking about here?
Jim Judge: Yes. Julien, this is Jim. I don't know you mentioned regulated returns, Ørsted is identified high single digit IRS as an appropriate return target, and importantly is the limit on that so that translates more to mid-teens ROE for us. We would expect offshore wind to be our highest earning business segment. 
Julien Dumoulin Smith: I'm sorry, okay, to run and reconcile with that mid-teens on what kind of equity check? And should we include the 225 that you've paid as part of that equity as part of the denominator in that ROE?
Phil Lembo: Yes. I mean certainly the 225 is part of the total cost of the project. There will be construction costs that go in there but you can imagine that given the competitive nature of this business that discussing specific construction costs or other assumptions would be sort of I think letting a little bit too much out of the bag in terms of competitors. So I say we'll try to be transparent. I think you probably have an assessment of your own as to what a megawatt cost to build or something like that, but the 225 is part I'm just getting started and there'll be construction cost that get added to that as we go forward.
Julien Dumoulin Smith: Sorry maybe this might be a little more power way to ask it. What about like equity contribution is like a percentage of the capitalization. I know you have ITC's and the capitalization but it's we taking 50:50, 30:70, kind of high conceptually?
Jim Judge: Yes, Julien, I'll try it another way that we're not going to sort of disclose the financing construct of our bids, but we are saying that the dramatic increase in our core business CapEx, coupled with the cost estimates that we have to build out the offshore win suggest that we want to do about a $2 billion equity issue through this five year window to continue to maintain the track record that we have, and that track record is one that's worth noting in terms of credibility and consistency. I mean if you look at the slide 5, we have had a remarkable run whether you look at one, three, five, 10 year performance of outperforming the index and outperforming the S&P 500. And I go back, if you looked at twenty years I was CFO of NSTAR 20 years ago. I think the results; the performance results are even more dramatic. So this consistency and a believe credibility given the track record. And while the financial performance has been top tier here, for the majority of that window of time we're also in top tier in terms of financial conditions. So we've put together a financing plan here that is going to allow us to again be a top tier finishing performer at the same time of having the top tier credit rating. So the finance --the financing are fungible right in terms of we have cash needs whether it's core business or whether it's offshore wind. And what size here I think is one that's going to allow us to continue a wonderful track record that we've had. And we've got commitment and conviction to deliver on that 5% to 7% of earnings growth and dividend growth that we've had going for so many years. 
Julien Dumoulin Smith: If I can just jump in real quickly on the 5% to 7%, obviously, there's --you are rebasing after 325. How are you thinking about the sort of the shape of that to get to the midpoint? I mean you just raise CapEx, the same time raising equity, seems like it's about a nickel decline versus the prior baseline for 2021 but I'm sort of curious as you see this out play out through 2023. Are you still saying it is midpoint of that 5% to 7% versus the prior baseline?
Jim Judge: Yes. We are. Absolutely and again just in terms of the rebase lining comment. I mean traditionally our track record has been set each year we would move into the new year and then add another year and this year we're adding two more years into that. So it's very traditional as to how we've addressed giving you the long-term guidance but certainly conviction in a stable way with being in the middle of that range is clearly what we're confident and delivering.
Jeffrey Kotkin: Thank you, Julien. Next question is from Stephen Byrd from Morgan Stanley. Good morning, Stephen. 
Stephen Byrd : Good morning. I wanted to talk about offshore wind as well and just conceptually with your partnership with the Ørsted, obviously, Ørsted is a very accomplished offshore wind developer. At a high level how have you all determine the allocation of risk? Is it sort of essentially a true partnership where all risks are shared equally between the partners or there --is there a bit of a different delineation in terms of responsibility and risk between the two partners?
Jim Judge: It's a shared risk 50:50. We collaborate on various benches into the RFP. The basis for the returns that we expect promote bids. So it's a true 50:50 partnership from a risk perspective.
Stephen Byrd : Understood. And then when I think about the permitting process. I'm just not familiar with everything that would be involved or sort of other approval elements, and just thinking through permitting risk and other risks here. At a high level again, don't need to go through every permit, but how do you think about execution risk for these projects. You obviously have PPAs in place which is a huge element here, but how do we think about the potential risks of execution here?
Jim Judge: That's about 24 -months permitting and citing calendar and site assessment work that has to go on. And then the US O&M is a key agency and then you get state and local permitting as well. Construction then is another 24 months, so right now where we are in the cycle is we expect South Fork site to be finished by the end of 2022 on that calendar. And the Revolution wind which is the larger one, 700 megawatts of PPAs to be done by the end of 2023.
Stephen Byrd : Okay, understood and then just one last question just on Northern Pass. You highlighted on a slide which is really helpful all the permits and I guess the two next steps that I'm thinking about are the New Hampshire Supreme Court review and the Army Corps of Engineers process. Would you mind just talking a little bit further about next steps there and sort of how we think about those two pending processes?
Phil Lembo: Sure. So the process has kicked off at the New Hampshire Supreme Court. They agreed to hear our case, received briefs on the case. So we expect that oral arguments would soon be determined in New Hampshire probably in the May timeframe and then there really is no precise deadline or timeframe that's required for the court to decide, but we would expect some decision to be in by the end of the year type of thing. So the Army Corps permit is really --there's been a preliminary assessment of that and really at this stage once all of the other approvals are made, we don't see any issue in moving through that Army Corps permitting process.
Jeffrey Kotkin: Thanks Stephen. Next question is from Praful Mehta of Citi. Good morning, Praful. 
Praful Mehta: Good morning, guys. How are you doing? Great, so sorry but I'm going to dig into a little bit of the offshore wind again. And I think the question from my side is more conceptual as in you really on this call gone headlong into offshore wind, right. Did the focus on offshore wind is increase significantly, obviously, the partnership with Ørsted and I think the skeptics still there are plenty of skeptics on offshore wind more around the concerns on execution risk. Clearly, it's been done in Europe but the risks around large projects execution approvals still seems to be pretty high among investors in the US. How would you -- how did you get comfortable with that risk? And do you believe that there would be --that this would be executed on time on budget? Or do you see any big risk that allowed that you worry about?
Jim Judge: Yes. I think it's a good question. I do think it's important to note that, well; there was a lot of discussion of the offshore wind. What's particularly notable is that the dramatic increase in our core business CapEx for the three years in particular is about 25% increase for the next three years. And that's driving a lot of our growth prospects along with the rate platforms that we have in place. Ørsted has a long track record in many countries of going through the sighting process of delivering on projects and actually coming in under budget and on schedule. I understand that it's a new process here in the US. The sense that we get is that policymakers in particularly in the states in New England. I have a very strong appetite for more offshore wind. We've been through some of the site assessment plan already in 2017 has been actually completed already. So we're basically right where we thought would be from a sighting and permitting perspective. And I think there's a lot of excitement around the demand and the interest in offshore wind. We're making commitments in the various states in terms of economic development et cetera. So I have reason to believe that the spending that we have in the plan of 2022 and 2023 is likely to take place as we go through the permitting process and begin construction. 
Phil Lembo: I just add a couple things to that another as more information that you have and the more certainty you have going into the process certainly reduces the risk exposure. And we've been at this for multiple years, three years basically to do site analysis to start the ball rolling in terms of permitting. So the lack of surprises there to somebody who maybe and it has just been a winner of a lease who has been in but really hasn't been able to do multiple years of wind and sea bed assessments and those types of things.  So another comfort factor I'd add would be the amount of preliminary engineering and preliminary work that I has identified and move forward on a number of these items.
Praful Mehta: Got you, that's super helpful color. And just in terms of returns, clearly the return sounds pretty good based on the current views of the --and the forecast. Is there in your assessment, given you've done so much analysis on it, where are the big levers that could drive returns downwards or upwards? Is it just construction or the other factors that we should be thinking about as well?
Phil Lembo: Well, certainly construction is a big element in terms of --and as Jim mentioned, our track record and for our projects being completed on time and on schedule. And four sets track record for completing projects on time and on schedule are pretty high up on the list. So construction cost could be one of them. 
Jim Judge: It could, but we have a fair degree of conflict, did a lot of due diligence with our board in terms of entering into this deepwater transaction. And I think what's important to recognize is that now with Ørsted, we have the one and two closest leases to the mainland that means that the construction costs, the water depth are appealing in terms of a build out. We were worth --it's worth noting that the Ørsted lease that we entered into in 2016 cost was $600,000 and again it's -- at least it's very close to shore. Leases that are owned another 20 or 25 miles in deeper water move up transmission costs just sold a couple of weeks ago for one $135 million a piece. So I think that's a pretty good indication that there's a lot of value here. That this robust interest in offshore wind build-out and we have some significant advantages in cost and construction because of the locations of our two appealing leases.
Jeffrey Kotkin: Thank you, Praful. Next question is from Antoine Armand from Bank of America. Good morning. Antoine.
Unidentified Analyst : Hey, guys. Thanks for taking my question. I just wanted to get a quick sense of new debt financing needs this year beyond the maturities. 
Phil Lembo: Typically, we don't give a precise schedule of our debt financing needs throughout the course of the year or the exact timing of it. But I do expect that for the maturities that we have we have $800 million of maturities that we would be financing, refinancing those and depending on levels of short-term debt, we could be doing issuances that are incrementally higher than that. So most of those would be at the various operating entities who have needs because they have their own construction programs and they finance their construction with internal funds plus debt financing. So $800 million is what the maturities are, and I would expect we will probably do something above that to keep our short-term debt levels down.
Unidentified Analyst : Got it and then over the five-year period. So you have of [1275] of CapEx. You have this $2 billion of equity $500 million combined of treasury shares. And then I mean cash from ops so you probably doing at least $2 billion a year. So if you have added these all up you have very limited incremental debt issuance over the period. Is that a right way to think about this?
Phil Lembo: Yes and then we have as we've mentioned a few times that we are additive to that $13 billion capital plan is the build-out of the offshore wind that I didn't here in that list of items. 
Operator:
Jeffrey Kotkin: Thank you, Antoine. Next a question is from Angie Storozynski from Macquarie. Good morning, Angie.
Angie Storozynski: Good morning. No questions about offshore winds for change, but a different angle. So would you be interested in an expanding your T&D businesses in New England? If there were to be a federal asset sales in New England?
Jim Judge: Hi, Angie. This is Jim. We would be obviously interested at the right price in terms of expanding our T&D's core business. We have the long, long track record of being a disciplined bidder when you look at the transactions that we've done 20 years ago company that form NSTAR was done and it's seen as hugely positive from a shareholder perspective over that 20-year period. Seven years ago now we did the deal that merged NU and NSTAR into what's now Eversource. Again, a deal that was widely recognized as being a big win for investors as well as customers. And then we did water acquisition deal that we did last year which true to form was delivered on, it was accretive to earnings in the first year as we have indicated in the --they actually our earnings performance outperformed our budget or our expectations for that business. So whether it's T&D or the water business, we think our core platform is a successful one and we would be interested in extending, but there have been a dozens and dozens of transactions in this region that have taken place that we didn't win because again we were disciplined bitter. So it'll all come down to the value that we can bring to the transaction. And what the asking price would be for the acquisition.
Angie Storozynski: But none of this is envisioned in or embedded in that $2 billion of equity issuances, right. This is just to finance your current CapEx plans and then you're not trying to shore up your balance sheets for a potential M&A deal?
Phil Lembo: No. It's strictly for as I mentioned its capital --the capital plans we have and the investment activities that are in the five-year horizon. 
Jeffrey Kotkin: Thanks, Angie. Next question is from Andrew Weisel from Scotia Howard Weil. Good morning, Andrew.
Andrew Weisel: Hey, good morning, everyone. That was a long time to not talk about offshore wind, kidding of course, but just one or two going back to that topic. Strategically, Ørsted obviously now on to Block Island and is interested in developing offshore in the mid-Atlantic. Would you consider expanding beyond New England and New York or you're going to stick to your former corporate name of Northeast utilities?
Jim Judge: So, we will. Northeast utilities is an old name but certainly the assets that we acquired in the transaction with Ørsted were the deepwater North East assets. There were other assets that were not part of the transaction. So we see our competency in this particular region as opposed to across the US. Proximity was a fact there are other leases that the Ørsted bought in the process that were further down the east coast from the mid-Atlantic area. And we didn't buy into those properties. So we at this stage, we feel that the proximity is important. These two leases are right off the coast of Massachusetts and Rhode Island coastal core operations. So that was a factor in the decision at this point.
Andrew Weisel: Okay. Then I know that you guys are very confident the construction will be on time and on schedule. My question is mechanically or procedurally what happens if you're not able to deliver on the obligations under the various PPAs? In other words how does the each state treat that potential scenario where the --did the turbines aren't spinning on time?
Leon Olivier: I think, yes, this is Lee, Andrew. The issue the PPAs has certain provisions and adapted essentially required you to post more credit letter, letter of credit but the penalties are relatively speaking to the investment are minimal if you don't meet the in-service dates.
Andrew Weisel: Okay, very good. Then just a quick one on the equity. If I heard correctly, Phil, I think you said that drip needs would come from the Treasury stock for the bulk of the $2 billion number. Should we expect block issuances as needed or it would be more like an equity forward deal?
Phil Lembo: There are many different ways of doing that whether they be block trade or roadshows or forward or so in terms of an ATM kind of program. So not really prescribing specifically the intent, but certainly all of those would be or the method, all of those methods would be evaluated and we would move forward again opportunistically and in a manner that we felt was appropriate for the time.
Andrew Weisel: Got it. And in the past few years one of the drip obligations been?
Phil Lembo: It's $90 million to $100 million, anyone.
Jeffrey Kotkin: Thank you, Andrew. Next question is from Paul Patterson from Glenrock. Good morning, Paul.
Paul Patterson: Good morning. How you doing? Just a few quick ones the ROE in New Hampshire, you guys said that you're under earning your lot. I just wondering could you tell us what it was for 2018?
Phil Lembo: We've just filed our final numbers are in the process of doing it. I say it's just shy of an 8%, it's below 8%.
Paul Patterson: Okay and then with respect to -- know that a grid mod is not in the Connecticut or New Hampshire in your forecast, but I also knows that the grid mod docket has sort of been in held in abeyance for some, I'm not clear why. Could you sort of elaborate a little bit more what might be going on there?
Jim Judge: Yes. I just commented with the new governor coming in there have been some changes. The former share of PURA has now taken a more significant job as the Commissioner of Deep. So I think it's got to do with the changes organizationally that happened with --when the new administration comes in, yes. 
Phil Lembo: And in New Hampshire it's-- they typically have a smaller staff than any of the other states. And in fact just recently they started to move forward in a more active way in terms of draft mechanism, or draft position papers that will require more, some more studies. So it's moving along and if there's no particular reason other than staffing at this stage.
Paul Patterson: And then I think after this year, you're expecting O&M to be flat. Is that tied in any way to the CapEx that you guys have been investing or just is that just the savings that you guys are doing from just what you guys have often been doing? There's a cost containing.
Phil Lembo: Well, certainly I did highlight on the call that certainly there the CapEx investment has driven improvements and high levels of reliability and safety and performance for our customers, but it also helps in terms of taking other costs out of the business. If you repair something that you don't have to go visit two or three times to repair, if you replace it you'd have some O&M savings. So certainly the O&M gets reduced as a result of it. So being flat is really a challenge because you've got inflation. You've got negotiated wage increases. So really you're taking kind of 2% to 3% of cost out of the business just to stay flat.
Paul Patterson: Okay and then just on the offshore wind. Are you guys thinking of doing perm EPCs or anything like that with respect to the execution of the actual build out or how do you guys look at that? I know you mentioned that this Ørsted and what-have-you is it's got a good track record but other than that I'm just wondering anything any idea of up for EPCs or how should we think of that?
Leon Olivier: Yes, Paul, this is Lee. I think the way to think that is that Ørsted brings all of the resident competencies that they need, that they just coming off building or in the process and building over 2,200 megawatts for the UK alone. And again as Jim said, all on schedule below budget and so they're very good shape for them. It's a core expertise that's what they do. So really wouldn't make any sense to bring it EPC. There are other developers that clearly will have to bring in an EPC because they just don't have that core competency.
Paul Patterson: Okay and then the capacity factor, just could you remind me what it is that you guys are expecting for wind? Offshore wind.
Leon Olivier: Capacity factors, they're on the range of 45% to 50% capacity factors on the wind, and it's higher in the winter when prices are the highest in the region including New York and so there's a great benefit in that winter period for reliability and price suppression as well.
Paul Patterson: Okay and then just finally weather adjusted sales growth for 2018, could you tell us what that was?
Phil Lembo: I didn't tell you what it was but for electric, Paul, it was and again I preface my answer by saying as a result of our great plans that we have in place 90% of our revenues all of Massachusetts, all of Connecticut are decoupled. So weather has no impact only New Hampshire is the only jurisdiction that is still, it's not decoupled but weather adjusted normalized for the year was down slightly like 0.2%.
Jeffrey Kotkin: Thank you, Paul. Next question is from Travis Miller for Morningstar. Good morning, Travis.
Travis Miller: Good morning, thank you. I'll return to the offshore wind if you don't mind. The agreement with Ørsted outside of the projects in the works right now. When we are thinking about that CapEx beyond and thinking out to the big potential what type of obligation as part of that deal with Ørsted and partnership with Ørsted. You have an obligation there to invest if say Ørsted were to make a decision to go forward?
Jim Judge: No. With any opportunity we have the right to participate or not. There's no commitment or obligation to fully build out the 4,000 megawatt. We have an option to proceed or not.
Travis Miller: Okay, on your own, based on your own economics and decision, okay. And then in terms of policy to again apart from the PPA is in place, are there any policies that need to go into effect in any of those northeastern states to promote offshore winds such that you could make it easier to go forward or are you going to be competing with other renewable sources on some of those non-identified projects?
Jim Judge: Yes. Well, there's been a mixture. This clearly been actual offshore wind specific RFPs, the state of Massachusetts was the first to legislate it 1,600 megawatts need to be bid and it's specific to offshore wind. If it completed 800 of that with the first solicitation, we expect the next one to occur the first half of 2019 here. Additional legit legislation in Massachusetts has asked the Department of Energy resources to take a look at doubling that number to go to 3,200 megawatts. The state of New York has legislated 2,400 megawatts that they're going to do through multiple solicitations. Connecticut and Rhode Island have been active as well. In New York, the governor has actually suggested that he thinks that they should go to 9,000 megawatts although only 2,400 has been legislated to date. So the policy is in the form of offshore wind solicitations. One of the Connecticut solicitations that took place last year had offshore wind among other clean energy resources. And in that instance revolution wind project won an additional 100 megawatts, but there were also solar and nuclear commitments in that process as well. So the majority are offshore wind specific but there was some clean energy RFPs that would invite all fuel sources.  A- Lee Now we just mentioned Jim that in Connecticut the governor has filed a bill yesterday a Senate bill that would add additional 1,000 megawatts offshore wind. So that's firming up as well.
Travis Miller: Okay, great, now is1, 000 megawatts up a pure offshore wind. A- Lee Yes, Pure offshore wind.
Operator: Thanks Travis. Next question is from Andy levy from Exodus Point. Good morning, Andy.
Andy levy: Hey, guys. Can you hear me? Okay and I apologize if this was answered or that has been popping around so just get back on the equity. How much of the $2 billion is allocated for the offshore wind? The spread out.
Phil Lembo: Yes. There's no specific allocation, Andy, is the direct answer. We would look at our total portfolio of construction and investment needs which we said is $13 billion over the next five years for our CapEx. And then add on to that the build out our share of the cost of the 830 megawatts of build out of the offshore wind. So looking at the total pot is where we would focus not specifically find it in that area.
Andy levy: No. No. I understand that but if you didn't have the offshore wind how much equity would you be issuing?
Phil Lembo: Well you're asking it the same way only differently.
Andy levy: Yes, you could, Phil.
Phil Lembo: As I said, the $2 billion of equity supports kind of our total CapEx and offshore wind for the next -- 
Andy levy: Okay. So let me ask you different then. What's the proper capital structure for an offshore wind project?
Phil Lembo: So that when you -- you did miss it, Andy, because we talked about cost. 
Andy levy: Okay. What's the bottom line of that?
Jim Judge: That's a competitive process, obviously, we are not going to disclose the cap structure or the capital cost.
Andy levy: But I guess your return on investment however you measure it must be based on kind of how you finance it right?
Phil Lembo: Correct.
Andy levy: Okay, that's not -- that something at some point will you share that with us?
Jim Judge: Yes. We've been saying based upon actually Ørsted has disclosed an 8% unlevered IRR which is going to give us a return that we think would be a transmission like or better when you look at so the returns on equity that we would expect there.
Andy levy: Okay and that's assuming that everything goes as planned or do you have a contingency built in into that?
Jim Judge: We work with Ørsted building appropriate contingency is not only in terms of spending, but in terms of schedule.
Jeffrey Kotkin: Thanks Andy. Next question is from Mike Weinstein from Credit Suisse. Good morning, Mike.
Mike Weinstein: Hey, guys. And just one quick follow-up. I just wanted to explicit --have you explicitly say that just confirm that you basically have offshore wind, additional offshore wind in the equity number, but it's not in the CapEx plan correct?
Phil Lembo: That is correct. It's not --it's not CapEx, it's equity investment.
Mike Weinstein: Right. So there's a certain amount that's -- that's why the equity might look high to some people because it's not in as part of that $12 billion to $13 billion CapEx plan?
Phil Lembo: That's exactly correct, Mike.
Mike Weinstein: Okay. But you're not saying how much?
Phil Lembo: That's correct also, yes.
Mike Weinstein: Okay. Just wanted to get that out there. Thank you. End of Q&A
Jeffrey Kotkin: All right. Well, thank you very much for joining us today. If you have any follow-up questions, feel free to give us a call or send us an email. We look forward to seeing you at the conferences in early March. Take care. 
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for joining. You may now disconnect.